Operator: Ladies and gentlemen, welcome to the AFC Energy Full Year Results for 2024 Presentation. Throughout today's meeting, investors will be in listen-only-mode and questions are encouraged and can be submitted at any time using the Q&A tab situated on the right hand corner of your screen. Before we begin, we'd like to submit the following poll, and I'm sure the company will be most grateful for your participation. I'd now like to hand over to CEO, John Wilson.
John Wilson: Good afternoon. Thank you, Mark, and good afternoon, everyone, and thank you for joining us today for our FY '24 results presentation. And with me is my colleague and CFO, Karl Bostock.
Karl Bostock: Good afternoon.
John Wilson: Okay. The typical disclaimer. I'm sure everyone can read that with great distinction. So moving on to an agenda, where we're going to run you through what we term the hydrogen challenge, provide financial updates, FY '24 delivery, our purpose and new strategy, outlook, and then we'll take the questions of which I know there's a number that have come in. So I look forward to answering those. So in terms of an overview, I think it's worth just providing - taking a step back and providing a kind of overview as to what AFC's total end-to-end offering is. So we effectively take ammonia molecules from a third party that supply those. We convert those ammonia molecules to hydrogen molecules with our Hyamtec cracking technology, and we obviously launched the Hy-5, which is the first product in what will be a range of Hyamtec products yesterday. And then we can convert those hydrogen molecules into electricity that our fuel cell generator systems can then use to power. So in terms of the hydrogen challenge, so what we've outlined in our announcement on Tuesday is a - sorry, Wednesday is a shift from what we're calling a technology-led to a market-led growth strategy. So it's looking at the push, pushing the market rather than waiting for the market to come to us. And that leads to a complete reset in terms of our strategic thinking and also how we are going to approach productization in the future. So as I said in the last IMC meeting and also I think this is convention in the industry that hydrogen is difficult and the hydrogen economy is held back by cost and infrastructure challenges. So what we've attempted to do in the very brief time that we've been here is look to see how we can break down those barriers so that we can be a first mover in this space. And so our solution is effectively threefold. So focusing on the power generator, H-Power generators, we're looking at significantly reducing the manufacturing cost of those prior to a next run at scale. And that is important because price is a barrier to entry. What we are competing with on construction sites with our diesel generators that are at much lower price point. So we need to work and to deliver that cost reduction, and we have line of sight to be able to do that. We also need to commercialize Hyamtec through prioritization of its core technology. So Hyamtec has world-beating technology. But technology in itself, whilst it has inherent value, doesn't deliver revenue. So as I mentioned earlier, and as you have seen on Wednesday, we launched the Hy-5, which will be our first foray into generating revenue through Hyamtec's technology. And that is at a disruptive price point. And that is our real advantage. So at £10 a kilo, we are significantly lower than anyone out there on the market. And to put that into context, we supply hydrogen fuel with our power generators at £65 a kilo currently. And finally, to provide an end-to-end hydrogen solution at cost parity with diesel generators for off-grid applications. So what that allows us to do is from next year, be completely competitive with diesel. We can swap out at the same cost, swap diesel generators at the same cost. We don't need to wait for government-mandated projects that deem that you know, the diesel can't be used or only hydrogen can be used. We can do that competitively now. So that makes our business model immediately commercially viable. And so we also have an ambition, and that ambition is to obviously achieve that cost parity without relying on government subsidies. And this is also a key point. Government subsidies can be pulled at any moment in time with changes of governments and not necessarily on a whim, but close to being on a whim. And that in itself creates ambiguity and a level of nervousness in terms of investment within the industry. So being able to provide that cost parity without government subsidies is truly transformational in the industry. And as a result of that, put ourselves in a position where we have dominance initially in this country in terms of the production of hydrogen and what we deem and call fuel as a service. So what that does is it builds recurring revenue model streams. So in terms of shareholder value creation, it significantly increases that because we've got line of sight of those recurring revenues. And then finally, look to significantly expand that regional reach, which will drive acceptance and adoption through what is market disruption. We're disrupting the market with the price point that we can produce hydrogen. Now over to Karl to run through the numbers.
Karl Bostock: Thank you very much. So looking backwards for a while, the financial highlights for financial year '24 are as follows. So following on from the 400,000 of sales in FY '23, the company made £4 million of equipment sales, primarily to the joint venture with Speedy Hire. We also received £0.5 million in U.K. grant funding with up to a further £3.7 million to follow in the current financial year FY '25. We also capitalized £4.4 million of development costs, which in itself is an external valuation that auditors sign up to that products that we are manufacturing have future value. And at the year-end, we had cash of £15.4 million. So apologies that this slide is a little bit busy, but it's what we thought it was important to do is to show you the profit and loss impact of the activities undertaken in FY '24 on the left, but more importantly, show you the cash impact of those actions taken. So although the company made revenues of £4 million, the cash impact of that £4 million was actually negative. And the reason why it was negative is because we paid over the VAT to the U.K. government and we of £800,000 and then receipts from the JV were only £0.5 million. So that essentially consumed £300,000 of cash. To manufacture those products, the 20 generated, it cost us £5.9 million, resulting in a £1.9 million net loss. But in order to support those - the fuel cells in the field, we invested £1.7 million in a maintenance pool should we need to change out any units on the fuel cells. And at the same time, we invested in the JV of £6,000 [ph] So essentially, if you take those 3 top lines together, we consumed £8.5 million of cash to deliver £4 million of revenue, £4 million of which is the timing difference, which will come in the current financial year as the JV pays for the units that were shipped. As in prior years, we continue to develop our technology, which we spent £9.5 million in cash, £4.4 million was capitalized, which means £5.1 million went through the profit loss account. Staff costs cost us £6 million. And then we had other admin expenses of £6.8 million, £4 million of which were noncash items, which is the depreciation on our assets and share-based payments. In order to support future growth, we invested £3 million in CapEx. So £800,000 of that was on non-recent [ph] traders, which enables us to transport hydrogen. The air purifying system of £200,000 and various different technology in the factory to help manufacturing of parts. We received £300,000 of interest, and we did a capital raise of £15.8 million, which cost us £900,000 [ph] to execute. And finally, on an R&D tax credit, we - the profit loss impact in the year is £1.9 million, but we received cash for the tax credits in the previous year of £2.7 million, which means on the £4 million that we made sales, we had a net loss of £17.4 million and the cash change in the year was £12 million. Looking forward, what we've done, we've taken steps to reduce the cash burn down to £1 million a month for our fixed cost base. We have £3.7 million of U.K. grant funding secured for FY '25. There is the £4 million that the JV owes the business that we will collect in FY '25. And finally, we will receive money from the government for our R&D tax claim, resulting in us having cash for the next 12 months.
John Wilson: Okay. So thank you, Karl. So in terms of the fuel cell commercial progress through last year. So as everyone is aware, we established a joint venture, sold 20, 30-kilowatt units into that joint venture, Speedy responsible for the deployments. And now - we've now built a pipeline, and we're expecting the first 5 of those to be shipped to sites in the very, very near future. And we are supporting them to overcome obstacles to accelerating deployment. So as these are new units using, new technology that have been deployed on construction sites that are replacing technology that has been incumbent technology, i.e., diesel generators that have been around for many years, there's inevitable obstacles that need to be overcome, and we are there to support that. So we've continued or reengaged, let's say, strategic discussions with TAMGO with a view to replicating the JV model that we have built with Speedy across the MENA region. And we've deployed a 45 kVA generator to the Acciona site in Madrid, which is currently on test. And post the period, we shipped a unit to TAMGO for a trial with Aramco. That has taken between 4 to 5 months to organize because of the fact that nothing like this has ever been shipped into the region before. So the necessary approvals that have been required have been extremely arduous. So it's barriers like this that we continually need to overcome and that sometimes you don't foresee. And as I said, we've started the rollout and the near-term deployment of H-Power generator sets to Speedy. And we've got a continued pipeline development, which Speedy is spearheading, and we are supporting. On the operational side, so the production facility in Dunsfold was established. And obviously, the units that we've shipped have been built there. And these are three very important points because they provide barriers to entry and a point of differentiation. So these interface have been redesigned to replicate the diesel generator. So these units will run as if they are a diesel generator. Successful integration with battery storage systems and also adding advanced telemetry for remote monitoring. So we can see actually what is happening in the field. So we can take those learnings and we can use those learnings into improving our offering and also next generation of generators. And also an important milestone in any business that is starting to manufacture and grow, achieving the ISO certifications of 9001, 14001 and 24001. And post period, we've launched now our 200-kilowatt generator that was based initially on the ABB investment, which I believe was a few years ago. And this second generation has allowed us to achieve a significant reduction in manufacturing costs. So that is a continual theme in this presentation. It's also a continual focus for us as a business to make sure that we are focusing on designing products for the minimum cost point possible. In terms of Hyamtec, so Hyamtec was officially launched as a business towards the back end of the year with its world-leading cracking technology, and that was following a successful patent applications filed based on its core technology. So the architecture that we have created within Hyamtec has a significant protective moat around it. And I think this is one of the reasons why and we'll talk about this a little bit later, while there's a number of very serious inquiries from very large companies, some of which actually manufacture their own ammonia crackers at much bigger scale are very interested in our technology because we can provide purity, we can provide a quicker startup, and we can also crack at a much lower temperature because of the design and the protection that we have around that through those patent applications. And we also developed a further road map of products. And that is then sort of manifested through the launch yesterday of Hy-5, so the world's first containerized portable cracking module that can readily be deployed at a construction site. So there's no need to wait for a grid connection, which in this country could take 5, 10 years. There's no need to require a huge power drop to be able to power an electrolyser, for example. So this can be installed or deployed within sort of days of the order being placed from 2026. So in terms of purpose and strategy, I think this is really quite an important slide. And we outline here what the immediate opportunity is, and this has really kind of driven the thinking behind the strategy. So if we take the left-hand slide first. So currently, there's around about 2 million generator sets, diesel generator sets that are produced globally. And we believe around about 10% of those are in our - what we term sweet spot, so in that 30-kilowatt range. So as a result of that, our market now is potentially 210,000 units per year. So if we can capture 1% of that market, we'll have a business that is in the region on the fuel cell side of a couple of hundred million a year. And that's just on new generators on an annual basis, not looking to displace what is already out there. So a significant opportunity and giving us -- or getting us to a point of cost parity allows us to access that market. And then secondly, the U.K. government has set a 2030 hydrogen production target of 3,600 tonnes per day. So if we start to break that down, if we can achieve 5% of that market using our Hy-5 technology or technology that we also follow at £10 a kilo, that would generate £1.8 million of revenue per day. So that business will be generating £650 million of revenue. That's 5% of the market, and that's 5% of the market at a price point that nobody can get close to. So we believe we are being relatively conservative with our views around what that market opportunity is. And what that translates to, and I think this is an important point as well, that translates to the equivalent of 360 Hy-5 units for us to be generating that level of revenue. So the opportunity is absolutely enormous, and our focus is on capitalizing through productization of our technology at the price point that allows us to access that market and be the first mover within it. And the government is also working in our favor. So Lower Thames Crossing have mandated that from 2027, hydrogen needs to be used on all construction equipment, et cetera, with the exception of boring equipment for the tunnels because hydrogen and tunnels aren't really a good mix. And also HS2 has stated that they want to end diesel by 2029. What we're saying is we don't want to wait for the market to come to us. We don't have to wait until 2027, 2028, 2029 for a market opportunity to appear. We want to be out there now. And the best way for us to do that is to be competitive with conventional technology or and/or have a disruptive price point for the production of hydrogen. This is an extremely busy slide for which we apologize, but this is a global footprint of planned clean ammonia production because a couple of questions that we had over the past couple of days are, well, where is ammonia coming from? This gives you an indication of over the next few years, ammonia plants that are coming on stream to support the hydrogen economy. And what this will serve to do is ultimately drive down the price of ammonia over a period of time as well. So if you look at that transition to market-led growth. So if you look at the box at the bottom of the middle there, so we're focusing on that market push. So what does that mean? So it's innovative, lower-cost solutions that remove those barriers to adoption. And that's a term I keep using because it's a term that is preventing this industry from really moving forward. To deliver that, we're accelerating plans to reduce the cost of those S-Series generators that help us get that cost parity, expand that range and then be in a position from the - a point in 2026 where the hydrogen provided by our Hy-5 in conjunction with our fuel cells will provide that total cost of ownership parity with a diesel generator. And that we believe will accelerate the transition to clean energy because we have that price point equivalent. And then the further productization of Hyamtec's technology road map to further disrupt that hydrogen production market. So putting this - sort of illustrating this in a way that is hopefully a little bit more explainable. So if you take where we are currently, we are on the left-hand side there. So the current fuel cell with the design and cost, we've got a very small addressable market, and it's small simply because of the cost. So where there are tenders that mandate a need for green or where there's subsidies or grants, then that's our addressable market. We don't have a hydrogen fuel addressable market currently because we don't have a product that is live. If you move on to the next column, so with our new fuel cell design, we then become highly competitive. The market becomes much larger, but without a hydrogen fuel provision, that ultimately is the market. But then you move to our joint offering within 2026, where we have a much lower cost fuel cell with hydrogen that is provided by Hy-5 that provides that cost of parity. We then completely open up the market for fuel cells, but also for that hydrogen fuel element as well. So just a reminder of the first slide I put up here. So simply, we're taking ammonia molecules, converting those to hydrogen and converting that to power. But there's also the component parts within that. So there's a fuel cell market that we're obviously going after as a stand-alone, but also as a hydrogen market that we are going after the production of hydrogen. And this gives an indication of the number of the verticals that we see opportunity, and we are having discussions with a number of companies within those verticals. So moving on to outlook. So as we said, so we're pausing the further rollout of generators, as Karl has talked through. It's - we're consuming cash by rolling them out. We have enough generators now to seed the market to get the feedback that we need to further improve based on units that are running in the field. But we want to wait until we've got those cost reductions that then allow us to really open up the market. We've got line of sight of that because of the work we've done on 200-kilowatt version through the RDR grant. That's given us a line of sight of a way to bring those costs down. We're working with Speedy to support increased customer deployments. We fully expect a significant increase in demand once we achieve that cost parity. We are in many advanced discussions regarding the development and deployment of large-scale cracker systems. So that is the Hy-5 at 500 kilograms per day, but also significantly larger systems that are on our product road map. We've secured the £3.7 million of grants for 2025. And as a final point and to restate, within 2026, the hydrogen from Hy-5 in conjunction with our fuel cells will provide total cost of ownership parity with a diesel generator. And that concludes the presentation. So over to questions, and I think Mark is going to kindly read those out.
A - Unidentified Company Representative: That's great, Karl, John. Thank you very much indeed for updating investors. Ladies. Gentlemen please do continue to submit your questions just using the Q&A tab situated on the right hand corner of your screen. And John, Karl, we did receive a number of questions ahead of today's event, and you've received a number throughout today's meeting. So thank you to everybody for your engagement. Perhaps if I could start off with the first question. What happened to the 27 - £26 million order book? There is no reference to this in the results announcement.
John Wilson: Okay. Thanks. Yeah, I think there's been a number of questions on that. So frankly, the way that the definition of the order book, and that number effectively is unchanged. I think the reference was to committed and uncommitted orders. There still are a level of uncommitted orders for the joint venture. So if we produce another 50 units, for example, that would have been another £11 million of revenue, which would be a big part of that. It's not a term or it's not a definition we'll be using kind of going forward. I think for both Karl and myself, an order book needs to reference committed orders from customers, contractually committed. And so when we start to refer to order book in the future, that's exactly what it will be referring to.
Unidentified Company Representative: And let's turn to the next question. You've paused the rollout of fuel cell generators until manufacturing costs have reduced. Why is that?
John Wilson: Because well, ultimately, we have a level of cash on our balance sheet. We're consuming cash by manufacturing those units, as to Karl's point in the presentation, we don't - in conjunction with Speedy, we don't really see the value in doing that right now when if we divert our focus and our cash reserves to significantly reducing the price. I mean this isn't a 10% or 20% reduction. We're talking about a 66% reduction in the cost. And that is - we believe that as well as Hy-5 coming on stream is a much better use of resources in the short term.
Unidentified Company Representative: Thank you. And a number of questions, as I guess, you would imagine, around share price. The dip in the share price has been hugely disappointed over recent years. But what do you see as potential drivers for a recovery over the next year or two?
John Wilson: Well, I think - well, there's two things. I mean from - there's things we can control and there's things we can't control. The one thing that we should be able to control is delivery. If the business delivers, the share price should respond. That said, there also needs to be a bit of a rebound in the market sentiment. And I'm sure a number of investors will be aware holding other stocks that even good news sometimes results in a drop in the share price. So - but we will be focusing on the things we can control, and that is delivery. And this is a business that is very much now about delivery.
Unidentified Company Representative: And again, a theme here, I guess, a number of questions around funding. At best, you've got another 12 months of cash. How do you expect to secure additional funds given the share price declines?
John Wilson: So I think, well, firstly, it's back to that point of delivery. Once we start to see delivery, what does delivery look like? So for us, where we are now, we need to provide to the market. And when I say market, I mean potential customers, as well as to shareholders, we need to provide a level of validation. And that validation, we expect in the short to medium term comes through the conclusion of the many discussions we're having with large and medium-sized potential customers around taking either product or licensing of technology.
Unidentified Company Representative: Thank you. And...
John Wilson: A bit there about - it was a bit about a fundraise or something in that or.
Unidentified Company Representative: Yeah, around funding.
John Wilson: Around funding, yeah. So as I say, we've got 12 months of cash. And I think once we've got that strategic validation, the share price, we hope would respond. And that then gives us more opportunities around funding options.
Unidentified Company Representative: Thank you. A couple of questions around strategy. How will the shift in strategy from a tech-led, market-led growth model being manifested?
John Wilson: Well, I think we kind of run through a lot of that in the presentation, but I think productization is the key point there. The business has a huge amount of very exciting technology, but the technology in itself doesn't create value. And I think it's a typical failure of British industry to focus on the tech rather than focusing on commercial realization. So we're making sure that the productization piece is to address a market need, not to address a perceived technological need.
Unidentified Company Representative: Thank you. And you say you're in advanced discussions with cracker deployments. When can we realistically see such deployments? And how will you fund the project cost?
John Wilson: So I think - yeah, I mean, so we have changed the, I think, historic approach to how we work with customers and potential customers. So there's obviously been a number of announcements around MOUs, development agreements, et cetera, that haven't to date really amounted to a great deal. And I think that's because there's a huge amount of interest in this space from very large companies. They want to know what's going on. They don't want to be left behind. So it's very easy for them to sign an MOU to get access to a piece of technology or a small work stream that creates 50,000, 100,000 or whatever it might be, but with no certainty of any kind of meaningful revenue off the back end for the business. And our approach is very different, which is because we're now masters of our own destiny, we are outlining our own product road map. If somebody wants to work with us, that's fine, we'll work with them. But ultimately, there needs to be significant revenue opportunity at the back end of that within that contractual arrangement. So we - we want to be doing that as soon as we can. We're not in complete control of those time lines because it's obviously two parties that need to agree things. But our tech is of interest, a great deal of interest.
Unidentified Analyst: I missed that part of the question, John, so I'll come back to that, if I may.
John Wilson: Okay.
Unidentified Company Representative: Let's just turn to the next question around provisions here. You're claiming a success in being able to produce 250 units per annum. But in the next breath, you announced that you've suspended production for the foreseeable future. It feels like we're completely misled by previous management.
John Wilson: Well, yeah, personally, I don't think that is the case. I think building a capacity and then pausing a rollout are effectively mutually exclusive events and also circumstances change. I think the macroeconomics now dictate a different price point for units. I think 3-plus years ago, when the units were under development, price was perhaps not a consideration. It is now. And I think there's obviously been delays in the kickstarting of the hydrogen economy. And what our approach is to actually become that kickstart, and we're doing that through the development of much, much lower cost technology or product, should I say, not technology. So I don't believe there's been a level of any level of misleading.
Unidentified Company Representative: Thank you. And next question. What are the reasons why the new cracker will not be available until 2026? And what's the price of the cracker?
John Wilson: Okay. So what - so we're not proposing to actually sell crackers. And we're not selling them because, as I say, we want to really drive this fuel as a service model because we believe that creates more shareholder value because we have recurring revenue over a longer period rather than a capital equipment sale. That's the first point. So why isn't it happening until 2026? There's a huge amount of testing that we need to finalize in terms of that. Also, what we want to do is build up that kind of pipeline, that customer pipeline so that as we convert orders into sales, we're doing so because we're building a lot of 5 or 10, not 1 here and 1 there.
Unidentified Company Representative: Thank you. And how does Hy-5 differ from the previous Hyamtec product offering?
John Wilson: So I think prior to this, Hyamtec had technology, not a product. And you can license technology, if you can sell technology. But ultimately, what we are doing is selling a product that provides us with a recurring revenue opportunity.
Unidentified Company Representative: Thank you. And let's just have a look at some cost reduction questions. Can you detail the targeted manufacturing cost reductions? How realistic are these targets?
John Wilson: Well, we believe they are realistic. And as I referenced in one of the slides, we've got line of sight of that through validation of the work that we've done on the much larger unit. So there is some work that needs to be done to be able to kind of scale that down in terms of price per kilowatt to the level that we want to achieve on a 30-kilowatt generator, but we believe it's certainly realistic. And I think we have to set ourselves ambitious targets. I think if we look at - if you look at the total cost of ownership with a diesel generator, it's quite interesting that 70% of the cost is actually fuel. So we do have a level of flexibility around that kind of price point, but we've set that target at two thirds of where we are currently. And where we are currently actually is significantly lower than the first units that we sold to the JV that are included in the revenue for the last year.
Unidentified Company Representative: Thanks, John. And you've referenced barriers preventing wide-scale deployment of AFC's technology. Could you expand on this and really explain what you're doing to overcome them?
John Wilson: Yeah, absolutely. And I think, again, that's something we've been through in the presentation. So the two significant barriers are price and availability of hydrogen. And I think our peers in this space have certainly been reflecting on that. Government acknowledges that. That's why there's subsidies available under the hard schemes for producing hydrogen. But even with those subsidies, our competitors can't get to our price point. So that's what we're doing about it. We are creating a market push through disrupting the market by providing hydrogen at a price point that gives that competitive price point with diesel and other fuels.
Unidentified Company Representative: Thanks, John. And coming back to questions around capital raises, again, will you commit to not doing an equity raise at the current low share price? Doing so would wipe out some long-suffering shareholders.
John Wilson: Yeah. So I think, I mean, as I said earlier, what the business needs to do is deliver and delivery should then start to see an improvement in the share price. If it doesn't improve, then obviously, the business has tough questions to deal with because we do have 12 months of cash. At a point in time, we are going to need to raise more money. But our focus, as I say, is on delivery, which we believe should impact the share price in a positive way, which makes or provides further optionality for the Board around funding options.
Unidentified Company Representative: Thanks, John. And until very recently, the market consensus was for revenue of £11.8 million in 2025 and £30 million in 2026. You're now saying that the revenue is likely this year to be £4 million from grant funds. How did the market expectation from management get so far out of hand?
John Wilson: I think the first point is - I think it's a technical point to - before Karl pulls me up on it. So grant funding isn't revenue. It's income and the two are kind of very different. That's the first point. But around the £11 million point, I mean, that ultimately is the sale of 50 generators. And we've said in this strategic repositioning because of the way that the market is and price being a barrier that we don't want to burn cash building units. So that's really the reduction.
Unidentified Company Representative: Great. Thank you. And what's the status of the unit on test with Aramco?
John Wilson: Aramco. Well, it's not on test yet. As I say, it took us 4 to 5 months to be able to work out and ship the bloody thing to the Gulf region. And so that's on its way now. And once we have the results of those trials, and then that will obviously feed into the discussions we're having with TAMGO around the potential joint venture.
Unidentified Company Representative: Thanks, John. And it's been months since the units were delivered to Speedy. Why has there been no deployments as yet?
John Wilson: So I think there's a few reasons for that. So firstly, there's a lot of things that need to kind of happen in parallel that hadn't quite happened in parallel. And I think this is learnings on both sides. And I think this is also a reason why we're looking to perfect that JV model with Speedy before we look to kind of deploy it in other regions. So issues around certification, hydrogen safety, training, where positioning, the - those are key criteria that we need to kind of overcome. And then the final one being price as well. So with the current price that is in the market for our fuel cells, the leasing price, it's not that attractive unless there are grants and subsidies available. We've now started to work with Speedy on improving that, and that has completely unlocked the market, which is why we now have five contracts signed, and those will be rolling out in the very, very near future and a strong pipeline behind that. So I think we've got reasonable expectations that the majority of those units will be in the field through the end - back end of this year.
Unidentified Company Representative: Okay. Let's turn to the next question. How much does it cost to build an H-Power generator currently?
John Wilson: Well, I think the financially astute can kind of probably work that out pretty much from the numbers Karl went through, but it's around about £350,000 on a fully loaded cost basis. So when you include labor, et cetera, et cetera.
Unidentified Company Representative: Thank you. And you had cash of around £15.4 million as at the 31st of October. Can you give us some insight as to where the cash balance is now?
John Wilson: So we'll be updating that cash number with our half year results, which will be out in July. But the only numbers that we put into the market currently are obviously the number at the end of the year and the cash burn that Karl referred to of around about £1 million a month.
Unidentified Company Representative: Great. Thank you. And is the £3.7 million grant funding expected in 2025 guaranteed? If you fail to receive the grant funding, how many months will that take off of your cash runway?
John Wilson: I think we get it all in - do we get all in by the end of April? Was it into May?
Unidentified Company Representative: So question for Karl. So the grant, Karl, by the way, speaks sometimes.
Karl Bostock: So the grant is predicated on delivering certain technical aspects over an air cool generator and - sorry, a liquid cool generator and two air cooled generators. We believe - well, we are very well ahead of the curve on delivering those prerequisites. So the money is being received in the next couple of months. So I don't think there's a risk over the grant funding. But essentially, if we do the math and we're burning £1 million a month, it would take £4 million off or 4 months off.
Unidentified Company Representative: That's great. Thanks, Karl. And what is the status of the relationship with ABB? Do they remain supportive shareholders?
John Wilson: I think, I mean, they're still there. I think they hold almost 2% of the company. And obviously acutely aware that recently, SERES [ph] had their largest shareholder, Bosch, sell out completely or look to sell out completely. But I think there's reasons for that. And those reasons are that Bosch haven't lost faith in the technology. They just want to move in a different direction. So they teamed up with Johnson Matthey, not with SERES. So as I mentioned earlier, there's a huge amount of interest and has been a huge amount of interest from large companies in the space. They want to understand what's going on. They want to be - they don't want to be blindsided by some kind of disruptive technology in the space. But that said, that's exactly what we've done with the Hy-5.
Unidentified Company Representative: Great. Thank you. And I guess if we maybe finish up on this question, and once again, thank you to everybody for your questions, and I do hope we've covered a number of the themes that seem to be coming through. But again, for years, the company has been talking about building shareholder value in its decision-making, but it's all bit eroded. What is being done to improve shareholder value and hopefully bring the share price to a more realistic level?
John Wilson: Well, I think that's ultimately the foundation and the starting point of the strategic repositioning, which is what we've outlined. I think if you have technology that is - provides a commercially viable price point and is ultimately world-beating technology that is IP protected, then it certainly puts you in a very good place. So it's back to the word of the day as it were, and that's delivery and the business needs to deliver. Words. As we said to the team in Dunsfold, you know, words are pretty cheap. What's really important is the actions and the delivery. And we need to be judged on that delivery, and we expect to be so.
Unidentified Company Representative: Thanks, John. I did say one question that was alive. There's another one that's come through and a number around this topic. And I don't know what you can say in the confines of this meeting, but has AFC received any approaches for a takeover?
John Wilson: I finished answering questions, Mark. So no, we haven't, to be honest, I think we haven't had any questions along that. I think is there a danger? There's always a danger. I think if you look where the market cap of the business is, 50-odd million or so and you look at the inherent value of the technology and you look at the competitive landscape where peers have valued that we're significantly under that. But there's many reasons for that. All we can do is continue to do and what we're doing, what we said we'd do, and that is deliver. And if those approaches come, deal with them accordingly. But I think just to answer a question that hasn't been asked, I think there's no intention from the two of us sitting here to look to take the business private, delist the business, sell the business. We're here to build some substantial shareholder value in the medium term.
Unidentified Company Representative: Well, that's great, John and Karl, thank you very much indeed, and thank you to everybody for your engagement this afternoon. John, Karl, I know investor feedback will be particularly important to you both. I'll shortly redirect those on the call to give you their feedback. But before doing so, I wondered if I may, John, perhaps just come back to you for a couple of closing comments.
John Wilson: Certainly. Yeah. Thanks, Mark, and thank you, everyone, for listening today. I hope it wasn't too arduous. But yes, feedback would be greatly appreciated. And we look forward to seeing a number of you next month at the AGM. So thank you.
Unidentified Company Representative: That's great, John, Karl. Thank you once again for updating investors. If I could please ask investors not to close this session as we'll now automatically redirect you for the opportunity to provide your feedback in order that the company can better understand your views and expectations. This may take a few moments to complete, but I'm sure will be greatly valued by the company. On behalf of the management team of AFC Energy, we'd like to thank you for attending today's presentation and good afternoon to you all.